Operator: Good afternoon ladies and gentlemen. Thank you for standing by. Welcome to Dorel Industries Fourth Quarter 2015 Results Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] Before turning the meeting over to management, please be advised that this conference call will contain statements that are for looking and subject to a number of risks and uncertainties that could cause actual results to different material from those anticipated. I would like to remind everyone at this conference call is being recorded on Thursday, March 10, 2016. I will now turn the conference over to Martin Schwartz, President and CEO. Please go ahead.
Martin Schwartz: Hey, good afternoon, everyone. On behalf of Jeffrey Schwartz and Frank Rana, thank you for joining Dorel’s fourth quarter and year end conference call. We’ll be pleased to take your questions following our initial comments. And a reminder that all numbers are in U.S. dollars. It was another exceptional quarter for Home Furnishings capping off a record year. This was a breakout year for our Home Furnishing business. For many years a good contributor to profitability, but somewhat of a sleepy segment. That changed significantly 2015 with the record revenue and profitability. The net negative FX impact on Juvenile and Sports, was a very significant $49 million. It would have been even greater had it not been for strategic price increases implemented through the year. During the past year or so we have been pushing hard to grow our online business. Home Furnishings has benefited for quite some time and has been a good model for our other two segments, both in transactions and replenishment. We were therefore most pleased when Dorel won the Walmart Supplier of the Year Award for Omni Channel, for both Walmart in-store and Walmart on line product launches and product assortments. And we’ve beat out some very impressive corporations. An important factor was our product development capabilities which helped drive major launches across many Dorel brands. We excelled at the basics, selection, price, as well as in-stock, in-store, and online. This is a huge award for Dorel. As it is for our Walmart business with our three segments. Customers relationships are important in any business and Dorel has worked hard over the years to build and foster these partnerships. An important strategy has always been for us to have dedicated teams with each of our major customers located in close proximity with them, working exclusively with buyers to ensure the best possible service and the product assortment that best suits them. I want to provide some color on how we see the retail environment in our various Juvenile and Sports markets. It's truly a mixed bag and we are facing the good and the bad with confidence as we have an array of great new products and fully invigorated teams. According to the U.S.-based conference board, consumer confidence decreased in February after posting a modest gain in January. Consumer short-term view of current conditions weakened primarily due to a less favorable assessment of business conditions, their personal financial situation and to a lesser degree labor market prospects. The board further stated turmoil in the financial markets may be rattling consumers. But the assessment of current conditions suggest the economy will continue to expand at a moderate pace in the near-term. And the timing of the income tax refunds for early filers should help. The European economy continues to recover slowly but its still somewhat fragile. Unemployment remains a problem. In general terms the retail sector is more stable than in previous years with far fewer major retailer insolvencies in 2015. Remember our traditional customer in Europe is not the mass channel. The environment remains highly competitive with a continuing trend towards online purchasing by consumers. This is where the great strides that the Dorel Juvenile Europe made in the omni-channel is helping and we see many retailers adopting an omni channel model as they recognize that this diversified consumer approach is crucial to their survival. Traditional specialist retailers with their own brick and mortar stores are also driving their own online business. We have also succeeded in driving through price increases to partially offset the weakness in the euro-dollar rate. In Latin America, the retail segment is pessimistic due to the continued rout in commodity prices, increased FX volatility, and the acute political instability in Brazil. Nonetheless, including Brazil, we are cautiously optimistic about increase market share in the region this year due to our strong leadership position. At for the retail environment in our Sports segment, a flat North American markets that is over inventoried by suppliers is causing erotic behavior by key IBD competitors, looking to desperately move inventory by initiating early discounting. To be clear, this issue effects only one part of our overall bike business. And it’s fair to say it’s not an expensive, as expensive as the industry discounting which followed the very poor spring of 2013. Things are looking quite positive in Dorel’s mass and sporting goods channel where we make the bulk of our money. Dorel Sports doesn’t not have an inventory over the stock to the expense our competition does. As we take action earlier to reduce bikes coming in late in the season. In fact, our IBD channel had double digit growth in units during the second half of last year due to highly successful model year 2016 introductions. So successful impact – so successful in fact that we picked up market share from the competition. But yes CSG is taking appropriate pricing actions and will pursue distribution growth. This will continue to expand the share in 2016 by leveraging the early sell-in success of the model year 2016 bikes and the expansive upgrade of its product line in model year 2017, which should help fuel sales in the second half. We are extremely upbeat about our newest introductions, which include new improved platforms for quick and scaffold, which are expected to generate large volumes and should ship in late Q2. As well the division will apply more focus on non-bike sales, which will yield higher margins and should offset some of the impact to the bike margin erosion. An early spring which we are seeing some signs of, should help mitigate the situation, and we move into longer days with the change of the clock this weekend. We are positive about the mass sector. Retail inventory coming out of 2015 was inline with retailer expectations. With fewer clearance bikes than prior. Pacific Cycle has gained incremental placement for 2016 in all categories. Our sporting goods channel has done well and continuous to grow nicely. It is not impacted by discounting and we expect a good year. In Europe, e-bikes continued to be a fast-growing category and we expect to round out our product line in this area later this year. Q4 results were somewhat less than we had expected and Jeffrey will address that directly. Overall, we have great products for the IBD and mass channels. Retailers have expressed considerable satisfactions with our new model bikes. Cycling sports group experienced organic growth in all regions except China. Thanks to the emphasis on launching more platforms than ever before, specifically in Cannondale and GT, and continued growth in the sporting goods channel. Price increases and strong operating expense controls helped offset the negative FX impact. Lower bike sales at mass at Pacific Cycle were partially offset by the increased sales in battery-powered ride-on toys, which had a record Black Friday with our newest six-volt model at the world's largest retailer. Caloi's sales suffered as a result of the devaluation of the real, as well as volume declines driven by the economic downturn in Brazil. But despite these issues, Caloi's full-year profit in local currency was up considerably, due to the continued integration of GT and Cannondale in the Brazilian market, as well as strong brand equity with Caloi, which has allowed them to remain relevant during the tough economic conditions. Again during the quarter, Dorel sports received considerable brand recognition. The Cannondale SuperSix EVO high-mod won bike of the year from Velo News, a major road-focused print and digital magazine. The Cannondale Habit SE was nominated for bike of the year by Pink Bike in December, and Pink Bike is the digital authority on mountain bikes. GT's Verb Expert was named among Bicycling.com's best new mountain bikes of 2016. And Fabric, Dorel's sports parts and accessory line was named breakthrough brand of the year by Bizbike. Dorel juvenile exceeded budget in Q4, despite the ongoing FX challenges with Dorel Europe doing better than expected, and Dorel Brazil finishing well above plan. This was the result of lower costs and is attributed to our teams who worked diligently to hold the line in a difficult environment. In December, based on our original plan to streamline operations, we consolidated Chinese manufacturing and optimized our operating structure by shutting two smaller factories, further reduced headcounts, and outsourced low-value activities. Products and key operations from the current suppliers continued to be moved into both Dongshun and Huang Shi [ph] facilities. And finally, the Dorel percentage of overall volume is increasing. Domestic sales in China were minimal for the year, although much of this was intentional, as we withdrew from a number of non- non-profitable distribution channels. We anticipate better things this year, as we benefits from the introduction of the Dorel Juvenile’s brand in the Chinese market. The numbers will be in the low double digits in millions, but it is a start. Also the Chinese governments change in its 35 year old one-child policy to allow couples to now have two children, should have a positive effect. Juvenile sales were up in local currencies in all geographies, with the exception of the U.S. although profits were up in the space. In Latin America all divisions did better than prior year in local currencies. Retail sales in Chile and Peru were strong, despite a weakening economy due to an aggressive promotional activity which drove in-store volume. Home furnishings had another excellent quarter with record sales. E-commerce and drop-ship vendor channels again grew substantially, as sales to Internet retailers rose with the expansion of SKUs. Dorel home products had the strongest growth, with its largest online sales quarter-to-date. Another big plus was the growth of Internet sales at Ameriwood, and in particular, their import division, Ultra. As a result of the strong sales increase, home furnishings earnings grew significantly. The segment continues to invest in its infrastructure to efficiently serve its growing e-commerce business and to be able to grow even further. Jeffrey will now provide financial perspective. Jeffrey?
Jeffrey Schwartz: Thank you, Martin. Before we get into the numbers for the full year, highlight a few things of importance. On restructuring, our results included $7.1 million for the quarter and $14.9 million for the year related to juvenile and sports. Acquisition-related costs related to juvenile of $800,000 and $3.7 million were also recorded in the fourth quarter and full year respectively. So before I get into the numbers also, as explained, the reported net income for the year ended December 30, 2015 and 2014 included impairment losses on goodwill and intangible assets, restructuring, and other costs, and remeasurements of forward purchase agreement liabilities. As such, I'll be discussing the adjusted financial information, as we believe that excluding the items I just mentioned is more meaningful comparison to our core business performance between the periods discussed. Please, you can refer to the non-GAAP measures section of the press release or in the MDA that will be out shortly for a reconciliation between the numbers I'm talking about and the GAAP numbers. So as usual, I'm going to focus on the quarterly results but I do want to point out one item. That from a corporate standpoint now, finally at the end of the year, we can say that the FX changes had a negative impact of $43 million – a net impact of $43 million on the Company. As Martin mentioned, almost $50 million between the juvenile and the bikes was balanced off by some positive results on the home furnishing and in the corporate expense area. So getting back to the quarter, consolidated revenue decreased by $4.6 million, or $32.1 million from $701 million last year to $669 million this year. After removing the effect of the FX and the Dorel juvenile China acquired in late 2014, organic revenue improved by approximately 4% compared to the previous year. This was driven by in the juvenile strong sales in Latin America and their wooden products and our wooden product division that makes cribs and other accessories. In sports, a higher demand from the IBD channel for the new model year 2016 bicycles and battery-powered ride-ons both did very well in the quarter. And then we had again record sales to the online retailers in home furnishings. Adjusted gross profit for the Company rose by 100 basis points to $22.3 million from $21.3 million. This can be explained by the juvenile price increases, particularly in or virtually all in markets that had FX issues. And reduced sales in lower margin markets. So again, we had a bit of a mix issue that positively resulted in those numbers. Home furnishing, again, the segment presented record growth in online sales. As well, we are finding a better sort of leverage, operating leverage now in our business as the sales grow, and that's helping to contribute to the bottom line. Of course, some of these positives were partly offset by some unfavorable FX, which still existed in Q4. Adjusted operating profits increased by $26.6 million – 26%, or $5 million, $23.7 from $18.7 million in 2014. Again, improved margins in the juvenile and home furnishing, partly offset by lower margins in sports. The strength of the U.S. dollar versus the majority of our operating currency had a net negative impact of about $10 million on the quarter, which is basically about $0.28 a share. Finance expenses for the quarter, $14.8 million compared to $20.5 million in 2014. However, I've got to point out that 2014 we had the remeasurement of a forward-purchase agreement liability. So if we adjust, the adjusted financial expenses for this year were $12.7 million compared to $10.3 million of last year. Adjusted pretax earnings increased by $2.6 million to $11 million. The fourth quarter adjusted tax rate was a recovery this year of 27.8% compared to 30.8% rate last year. The bulk of the recovery is the recognition of a foreign reorganization and a tax benefit that came along with that. So that would be the bulk of the reason for the lower taxes. Adjusted net income for the quarter increased by 28.4%, or $3.1 million, to $14.1 million. And our adjusted diluted EPS for the quarter was $0.43 compared to $0.34 last year. If we move over to the juvenile section, fourth quarter sales decreased by 12.5%, or $36 million, to $253 million from $289.2 million the year before. If we exclude FX impact and Dorel China acquired in late 2014, we actually grew organically by about 1%. Again, most of that is coming from the Latin American divisions or the juvenile wooden furniture products. Adjusted gross profits increased by 330 basis points in the quarter to 29.5% from 26.2%, driven by successful implementation of selective price increases. Again that would be in the markets that were affected by FX. Introduction of new products at better margins in virtually all of our markets, and these actions offset the FX pressures that we had, that we've been talking about. Juvenile margins have also started to benefit from the change in sourcing strategy from third-party suppliers to the Dorel juvenile China factory and will improve as the transformation becomes more integrated. Adjusted operating profits increased by 15.5% or $1.4 million to $10.2 million from $8.8 million, again improving in margins and also lowering some expenses. Between the two, we've obviously had more – that was a counterweight to the net negative impact of $5 million on the segment. Moving over to sports, our sports segment revenue decreased by $6.4 million, or 2.5%, compared to last. Organically, we actually increased our sales 5% after removing FX. That was driven by the increased demand in the IBD channels for the new 2016 bikes and a much higher shipment of battery powered ride-ons. Gross profit declined by 170 basis points from $21.9 million to $20.2 million for the quarter, mainly due to unfavorable FX. Adjusted operating profits decreased by $23.8 million – 88% or $2.8 million to $9.2 million – sorry $9.2 million from $12 million the previous year. In that we had an impact of $5 million from FX. We didn't hit the numbers we expected to hit in Q4, a couple of things standout from there. One of them was one of our large mass merchant customers shifted inventory buys, so they basically reduced their amount of inventory going into 2016, which will probably help us in 2016, but we weren't expecting that. And even on the IBD side despite having double-digit increases over the previous year and I believe gaining market share, we were still below what we forecasted we would be shipping in Q4. So, yes, a little disappointing, but again our sales and market share grew in the quarter. And of course, we had no help from Brazil in the Q4, which is their big quarter because currency – that was one of the worst quarters for currency in all and that was the quarter that provides us the most amount of profit. So, we’re a little short in that area as well. So, a little bit off of our expectations, but I think I’ve explained the big items there. Over in home furnishings, again great story. Revenue increased by $10.5 million or 6.9% to $162 million versus last year's $151 million. Again most of the increase is coming from online retailers and that represented 44% of our sales in that quarter, which again is a record there. Gross profit improved by 330 basis points to $14.5 million – 14.5% compared to 11.2% and the operating profit of $9.5 million is an increase of 81.7% from the prior year. Just a few other notes on the financial statements before I pass it back to Martin. We're very proud to see that we're able to reduce our inventories on the balance sheet by almost $100 million from September 2015 level. So, definitely, there is a focus going forward on working capital and maximizing our cash flow. And I think we took a big step towards that in the Q. I do expect inventories to go up during the year, but I think we’ve reduced our base when we’re starting and I don’t expect the inventories to climb as high as they did in 2015. One of the problems in 2015 was bicycle purchases, which was extensive, late in the second quarter of both model 2015 and 2016 bikes, which we won’t be repeating this year. We have our inventory better under control. We won’t be bringing in very much inventory during that period. And therefore, we’ll have the increase that we showed during 2015. Our net debt position, which is defined as long-term debt and bank indebtedness less cash and cash equivalents, was about $520 million at the end of 2015 and that was down from $533 million at the end of 2014. So with that, I’ll pass it back to you Martin.
Martin Schwartz: Okay, thank you, Jeffrey. Overall, we finished 2015 with a quarter that exceeded prior year in both organic sales growth and pre-tax profit. We expect this to be the case for fiscal 2016 with all three segments showing earnings improvements, assuming the global economy does not deteriorate any further. In home furnishings, we are seeing the momentum from 2015 carryover into 2016 and we expect to exceed our record 2015 results with strong earnings growth in 2016. Dorel Juvenile exceeded prior year earnings in the fourth quarter as new products and selective price increases were implemented. As foreign currency stabilized and with the benefits of our restructuring program and other operational improvements, we expect this to continue going forward. The Dorel sports 2016 product line is exceptional. We expect to expand our market share in the IBD sales channel by leveraging the early sell-in success of a model year 2016 bikes and the expansive and exciting upgrade of our product line in model year 2017. This should help fuel sales in the second half. In an attempt to clear excessive inventory, some of Dorel’s key IBD competitors have initiated early season discounting. We’re taking the appropriate pricing measures within this environment. An early spring could also help mitigate the situation. Business is good in our mass and sporting goods channel and we anticipate surpassing last year's results in these channels. And despite significant economic and political challenges in Brazil, Caloi should see some year-over-year improvements. I’ll now ask the operator to open the lines and please as always limit your questions to two on the first round. Operator?
Operator: Thank you. Ladies and gentlemen, we will now conduct the question-and-answer session. [Operator Instructions] Your first question comes from Dave King of Roth Capital Partner. Your line is open.
Nick Meyers: Hello, guys. This is Nick Meyers. I’m on for Dave King today. How are you doing?
Martin Schwartz: Good. How are you?
Nick Meyers: Doing very well, thank you. Thanks for taking my questions. First off, I just want to talk about what’s happening with your largest customer in the bike business? Is it a bankruptcy or end-market pressures or exactly what’s going on there?
Martin Schwartz: It’s not a big deal. Its how do you describe it, they shifted inventory. I guess they said we have enough inventories for Christmas on these models, and we will buy again in January. And it was just counted to our expectations.
Nick Meyers: Okay. So you may see…
Martin Schwartz: But it is not a problem issue.
Nick Meyers: Okay, so maybe we could see a benefit in next quarter for that?
Martin Schwartz: Yes, I mean – yes, I think we're looking for quarter. Unfortunately, January is the weakest month in all of bike industry, followed by February. So, there are great indications, but I think we’ll be at least for sure on plan, now maybe a little bit better in that sector.
Nick Meyers: Okay, perfect. I appreciate it. And then, yes, second question, so on Dorel China, I think last quarter you guys said 50% of the business was third-party, but that would be declining or at least you hope so. Where does that number stands now and also have you had any success capturing more direct to retail business over there?
Martin Schwartz: Well, I will give you – the expectation for this year is to be 70% Dorel products. I guess that the third-party is going from 50 to 30.
Nick Meyers: Okay.
Martin Schwartz: And I mean we’ve got some other business coming, but again we're going to rely more on our business going forward. We do have efforts to get that third party, but right now the third-party is estimated to stay at 30% for this year.
Nick Meyers: Okay, perfect. I appreciate it. I’ll step back for now. Thank you guys.
Operator: Your next question comes from Eric Beder of Wunderlich Security. Please go ahead.
Eric Beder: Good afternoon.
Martin Schwartz: Hi.
Jeffrey Schwartz: Hi.
Eric Beder: Can you talk a little bit about what you are projecting with your FX and how you plan to try and mitigate that. And what are you kind of expecting to happen here in the Brazilian economy going forward.
Jeffrey Schwartz: Well, I would be foolish to tell you what expectations are on FX, I mean nobody know what the business plan shows is to have a rather stable forecast. We don't see the U.S. dollar increasing in strength significantly. Most of our – having said that we’ve seen in the last three or four weeks the U.S. dollar actually weakening against a lot of currencies around the world. So today we're in a little bit more favorable position that our forecast given the strength of places like South America and Australia even Canada has come back. The big currency we have to worry about is the euro. I mean, so far its stable but we do have to worry about what's going on there. We have – I would say at this point of the year we have more hedges in place than we did last year. So from that point of view, it’s good. From a Brazilian estimate, I mean it's a bit strange now. Talking to a lot of people in Brazil, what they're telling us is what was killing the currency is the sort of complete uncertainty and stealmate in the political system where nothing was happen. And now that the police seem to be taking some action against some politicians and the market see that as an action being taken and it's actually strengthened the real by 10% in the last little while. So that course benefits us.
Eric Beder: And one quick what tax rate are you planning going forward? The tax rate 2015 was kind of all over the place.
Jeffrey Schwartz: Yes, it is because I mean we are aggressive out there looking for opportunities. But we stick to the 17% to 20% rate.
Eric Beder: Great. Thank you Schwartz.
Jeffrey Schwartz: Thanks.
Operator: Your next question from the studio, Leon Aghazarian of National Bank Financial. Your line is open.
Leon Aghazarian: Hi good afternoon. My first question is regarding the Dorel Juvenile. I'm just wondering what the competitive environment is looking like, particularly in the U.S. We're seeing about 1% organic growth, understanding that's predominantly driven by Latin America. So just want to get a sense of what's happening in the U.S. and regarding market share there, what you're seeing.
Martin Schwartz: Right, well, I mean, we've said the same thing now for two to three years and we're following through and that is we're trying to sell better products but maybe less products. So you’ve seen a slip in sales and probably market share over the last two or three years. But every year we’ve improved our earnings. And that’s something that, that focus is going to continue. So we’re putting up less new product, but we believe better new products now with more solid margins and that should continue again this year, I mean, at some point we don’t believe we’re going to drop sales. I mean, as we keep adding better products to our portfolio, we’ll start to raise sales again. But this was the plan and it is working, because I think it’s been three years in a row now, we’ve increased the bottom line in the U.S. And then that’s our main focus. So I guess, it would probably have less market share. But I think that’s just because we’re not competing in as many categories as we used to, by choice.
Leon Aghazarian: Okay, fair enough. And just one, I guess overall question from me. We know obviously and you’ve discussed this at length now regarding the FX headwinds there. But regarding the fact that the commodity prices have come down have you seen your input prices come down, particularly on the price of plastic, resin, that type. I mean, I would expect maybe to be a lift, in terms of profitability that way?
Martin Schwartz: There is – in the world of commodities, there has been commodities that have come down. There’s other commodities that have gone up, particle boards gone up, plastic has been very resilient. I mean, you would think – I think it’s a supply and demand issue, because the inputs to plastic have gone down, yet that hasn’t really been passed on very much to us, which is a bit of a disappointment. Other commodities have. So yes, I mean that’s part of that. But at the same time, we often have to pass some of those savings on to our customers. So, it’s certainly not a negative environment. But it is, we don’t get to keep everything that we see.
Leon Aghazarian: Okay. And last one from me would be on China. I mean we did see – you took some expenses here, some charges. So, is that all-in now or are we still expecting more kind of the charges going forward. And then secondly, can we get a bit more visibility right now following these charges, what you would be expecting, I guess on annual basis for China?
Martin Schwartz: Well, I mean, I think we did announce from a savings point of view on what we’ve announced so far, is about $9 million for this year. As we change the factory, as we develop it and get better and more efficient there could be other charges. I mean, we don’t have everything done yet. So it’s a piece by piece thing. But every time we do something, it involves – we’re doing it because we have a more efficient way to do it and save money. So no, it's not completely finished and I don’t have a number. If we had a number we would have – we would publish the number.
Leon Aghazarian: Thank you.
Jeffrey Schwartz: Yes.
Operator: [Operator Instructions] Your next question comes from Derek Lessard of TD Securities. Your line is open.
Derek Lessard: Yes, hi good morning guys or good afternoon. Just wondering if you could clarify what you mean by taking it just on the bike side appropriate pricing measures. And I guess I’m wondering as well as how do you guys think about how this affects the markets that you've tried to push up prices in.
Jeffrey Schwartz: Okay. So first question, what we’re doing is we’re responding to platforms. So if a certain platform – again, this is not across the board all models, all bikes, all models. By any of the competitors, right. So there's selective bikes that have been put on sale and if we have a competitive platform, we make sure our bike during the time that the other people put it on sale is going to be similarly priced, so we have an opportunity to sell our bike. So that’s how we’re approaching it, so very much on a reactive scale, in this case because we don’t believe we have too much inventory. But at the same time we don’t want to lose market share, we don’t want to lose the opportunity to sell our bikes, so we have to respond to it during the season. The second question, I guess you’re referring to other markets besides the U.S. market right because we haven’t really raised prices in the U.S.
Derek Lessard: Yes, so anywhere, where you’re impacted by a foreign exchange?
Jeffrey Schwartz: Again I would say it is the same answer is we look at what the market is doing and we have appropriate responses for those bikes for that time period that the competitors are lowering the price. So again we have to see what’s happening in each market. If everyone raised prices and some cases then turnaround started to discount it right away. So we’ll just have to just make sure we’re in the ballpark of the competitor, for as long as those sales go on.
Derek Lessard: I got fair enough. And I mean just putting gears to the juvenile side
Jeffrey Schwartz: [Indiscernible] Derek we're not in control of – we don't want to be in control. We don't want to be the guys out there leading price promotions. So we're being much more reactive and just making sure we’re competitive during this period. That’s all.
Derek Lessard: Okay, and I guess then maybe just as a followup to that and in terms of the market share just wondering. You said you are picking up, just wondering if you’re able to quantify it in any way.
Jeffrey Schwartz: Not yet, it’s early, but certainly if we were – if we assume the markets are relatively flat or up 1% or 2% to growth of the market. And we were up double-digits for the period. I’m going to assume somebody – we took that from somebody. So that’s why, I feel comfortable that our market share is up, we know we have bikes are good. We know some of our competitors are getting nervous and discounting. So, but I can’t quantify that because, I mean, that’s really new numbers.
Derek Lessard: Okay. Thanks for that. And I guess, just switching gears on the Juvenile side. I think it was last quarter, anyhow, you had indicated that you expected your revenues and operating profits to be consistent with Q3 and you guys did considerably better. I think that you said it was tied to the timing of marketing spend and product introductions. Is this all the price increases that you’re talking about?
Martin Schwartz: No. I mean, there was some price increases, we actually did a little bit better in Europe than we thought we would. There seems to be some momentum now. I mean, we were nervous about South America, given what’s going on in the economy. But in both –everywhere in South America, in local currencies we had a very strong year, we absolutely picked up market share and we increased in local currencies, probably more than we thought we would, given the difficulty in the marketplace. Unfortunately when it’s translated back to U.S. dollars, you don’t really see it. But I think, we just had some general strength in Europe for sure, and in, so-called South America as well.
Derek Lessard: Okay. Thanks for that, guys.
Martin Schwartz: The other thing that nobody’s talked about, just want to mention is just the strength of our Home Furnishing business. Don’t fall asleep on it. Like we use the team, the business, it was a sleepy business. And it was, in a sense, it would always be up or down $2 million. I think we got a growth business now, in that area. And I think you guys should pay a little bit more understanding to it, because I really think we’ve got something that’s in a good zone now.
Operator: Mr. Schwartz, there are no further questions at this time. Please continue.
Martin Schwartz: Okay. Well, thank you all for joining us today. Just two dates, you may wish to note in your agendas. We report Q1 on May the 6, and our annual meeting of shareholders will be held in Montreal on May the 26 at the Omni hotel. Thank you all again for being with us. And have a good afternoon.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines.